Operator: Good morning and welcome to the Icahn Enterprises L.P.'s Q4 2022 Earnings Call with Rob Flint, Director of accounting; David Willetts, President and CEO and Ted Papapostolou, Chief Financial Officer.  I will now like to hand the call over to Rob Flint, who will read their opening statement. 
Rob Flint : Thank you, operator. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for forward-looking statement we make in this presentation, including statements regarding our future performance and plans for our businesses and potential acquisitions. Forward-looking statement may be identified by words such as expects, anticipates, intends, plans, believes, seeks estimates, will, or words of similar meaning and include but are not limited to statements about the expected future business and financial performance of Icahn Enterprises L.P. and its subsidiaries.  Actual events results and outcomes may differ materially from our expectations due to a variety of known and unknown risks, uncertainties and other factors that are discussed in our filings with the Securities and Exchange Commission, including economic competitive, legal and other factors including the severity, magnitude and duration of the COVID-19 pandemic. Accordingly, there is no assurance that our expectations will be realized. We assume no obligation to update or revise any forward-looking statement, should circumstances change except as otherwise required by law.  This presentation also includes certain non-GAAP financial measures. A reconciliation of such non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the back of this presentation. I'll now turn it over to David Willetts, our Chief Executive Officer.
David Willetts : Thank you, Rob. Good morning and welcome to the fourth quarter 2022 Icahn Enterprises earnings conference call. Joining me on today's call, is Ted Papapostolou, our Chief Financial Officer. Together, we'll provide an overview of Q4 results and then be available for questions.  Before we get into the results, I'd like to reemphasize that we believe activism is the best paradigm for investment. We're putting our activist principles into effect in both our majority controlled and our minority positions held in our investment segment. Additionally, we strongly believe in hedging our positions to mitigate risk especially in the volatile markets that we're living in today. For the sake of brevity, all net income and EBITDA amounts we’ll discuss are attributable to Icahn Enterprises, unless otherwise specified.  Now on to the numbers. Full year 2022 net loss was $183 million, which represents a year-over-year improvement of $335 million. Full year adjusted EBITDA for 2022 was $758 million, which represents a year-over-year improvement of $485 million. For Q4 2022, we had a net loss of $255 million and adjusted EBITDA negative $54 million, compared to a net loss of $396 million and an adjusted EBITDA of negative $443 million in the prior year period.  Our indicative net asset value as at quarter end increased by $522 million to $5.6 billion as compared to December 31, 2021. The change in indicative net asset value includes among other things, changes in the fair value of certain subsidiaries, which are not included in our GAAP earnings reported above. Regarding our segments. Year-to-date, our investment funds had a negative return of 2.4%. For comparison, the S&P 500 was down approximately 18% for the year. CVI ended the quarter with continued strong performance, largely due to a $20.42 increase in crack spreads in quarter 4'22 versus 2021, with flat volumes. Dividends been increased to $0.50 per share for quarter 4, 2022 to bring the total 2022 dividends to about $5.30 per share. CVR Partners performed strongly in Q4 '22, largely due to strong pricing markets for ammonia and UAN, both of which were up versus Q4 2021 by approximately 30%-plus. For Automotive Services, revenue growth remained strong at over 13% for the full year of 2022. In Q4, the team executed the first phase of efficiency actions targeting corporate SG&A cost discipline. Although additional efficiency actions are planned in the first half of 2023, the company is intensifying its focus on customer service and upgrading its premium services offerings. The new CEO and CFO are now in place with the company and the overall leadership team is rapidly executing the plan for 2023 performance. The IEP board declared a $2 quarterly distribution payable in cash for additional units.  With that, let me turn it over to Ted for detailed discussion of all of our segments.
Ted Papapostolou : Thank you, David. I will begin by reviewing our consolidated results and then highlight the performance of our operating segments and comment on the strength of our balance sheet. For Q4 '22, we had net loss of $255 million and adjusted EBITDA of negative $54 million, compared to net loss of $396 million and adjusted EBITDA of negative $443 million in the prior year period.  I will now provide more detail regarding the performance of our segments. The investment funds had a negative return of 4.6% for the quarter, which was driven by the negative performance of our short positions, offset in part by certain long positions. For the quarter, long positions had a positive performance attribution of 4.5% while short and other had a negative performance attribution of 9.2%. The investment funds had a net short notional exposure of 47% at the end of the year, compared to a net short notional exposure of 54% at the end of Q3. Our investment in the funds was approximately $4.2 billion as of year-end.  And now to our Energy segment. In Q4,'22, our Energy segment reported net sales of $2.7 billion compared to $2.1 billion in the prior year quarter. Adjusted EBITDA was $168 million for Q4 '22 Compared to $40 million in Q4'21. CVI declared a $0.50 per share cash dividend and CVR Partners declared a fourth quarter cash distribution of $10.50 per unit. Q4 '22 refining margin per throughput barrel was $17.14, compared to $7.13 in the prior year quarter. This increase was primarily due to widening crack spreads. The cost of RINs continue to have a negative impact on our refining business with $142 million of related expense for the quarter. Q4 '22 average realized gate prices for UAN improved by 31% to $455 per ton, and ammonia improved by 30% to $967 per ton when compared to the prior year quarter.  Now to our Automotive segment. Q4 '22 net sales and other revenues for the Automotive segment was $585 million, an increase of $22 million from the prior year quarter. Q4 '22 adjusted EBITDA was negative $43 million compared to negative $97 million in Q4 '21. Q4 '22 Automotive Service revenue increased by $43 million as compared to the prior year period, due to price increases offset by lower volumes. Q4 '22 aftermarket part sales decreased by $25 million as compared to the prior year period, mainly due to lower volumes. During the quarter, the segment was negatively impacted by increased inventory reserves and out-of-period adjustments.  Subsequent to year-end, Auto Plus, an aftermarket parts distributor held within the segment filed a voluntary Chapter 11 bankruptcy. This proceeding is limited to Auto Plus and will not have a significant impact to Icahn Enterprises.  Now to our Real Estate segment. Q4 '22 net sales and other revenues increased by $8 million, compared to the prior year quarter. Adjusted EBITDA was $3 million for Q4 '22, compared to negative $3 million for Q4'21. The segment continued its strong performance and the management team is highly focused on increasing occupancy across the portfolio.  Now turning to our other segments. Q4 '22 net sales and other revenues for all other operating segments were relatively flat compared to the prior year quarter. Adjusted EBITDA was $6 million for Q4 '22, compared to $12 million for Q4'21. This case improved during Q4 '22 as compared to the prior year quarter, mainly due to price increases, which more than offset inflationary pressures in energy and raw materials. Management continues to prioritize manufacturing productivity and efficiencies across the company.  During the quarter, Home Fashion was negatively impacted by products within its retail business, particularly in e-commerce. Management has decided to exit unprofitable retail products to focus on its hospitality business and reduce overhead costs.  Now to our liquidity. We maintain ample liquidity at the holding company and at each of our operating subsidiaries to take advantage of attractive opportunities. We ended the quarter with cash, cash equivalents, our investment in the investment funds and revolver availability totaling approximately $6.8 billion.  Our subsidiaries have approximately $617 million of cash and $305 million of undrawn credit facilities to enable them to take advantage of attractive opportunities. In summary, we continue to focus on building asset value and maintaining liquidity to enable us to capitalize on opportunities within and outside our existing operating segments.  Thank you. Operator, can you please open up the call for questions?
Operator: [Operator Instructions] One moment for our first question, it comes from Daniel Fannon from Jefferies.
Daniel Fannon : Hey, good morning, guys. A question on the -- just the fund and the positioning. Given the short position heading into this year, likely not a good start just given what beta has done. So just curious about just kind of the framework of how you're thinking about kind of the broader macro backdrop? Obviously, a lot going on, but just is this -- is there -- can you kind of inform us on kind of your views as you think about the year and the kind of investment outlook?
David Willetts : Sure. Thanks, Dan. I think this is always the most difficult and least satisfying question, because it's really crystal ball. There are a number of factors that we're all aware of. question marks on interest rates really less on will they go up then on when they'll go up, what ripple effects that has the underlying operating economy.  We have always, at least for the last several years, looked to hedge both specific positions and broad market positions due to the uncertainty. So, our outlook doesn't remain radically changed. It's an uncertain environment. That said, that's an environment in which there are often opportunities that are very rifle shot in nature.  So we are quite focused on folks that may be in a distressed situation based on all of these changes. But our hedging depending on the quarter, certainly either helps us or hurt us. But our view is to be hedged appropriately, we'll manage out as much risk as we can while we execute our different theses.
Daniel Fannon : Understood. And I guess similar just question, as we think about activist investing in a higher rate environment. I assume that presents more opportunities in terms of companies that might fall on harder times that could benefit from some change. But also as you think about buying power and how your ability to generate the returns you need, that obviously is also potentially impacted by higher rates. So just wanted -- how you guys are thinking about that backdrop and whether that's -- with rates where they are and have been, as you said, potentially going higher, what that maybe means for you across the businesses?
David Willetts : Yeah. Interest rates moving up is -- does present more opportunities and it does present realistic operating costs for our debt. I think the one thing that we have to continually snap back to is even though there is a marked difference in interest rates, certainly now probably in 2023 as compared to 2020-21 we're really still not at an abnormally high interest rate environment. We're really just recalibrating back to environments that we've all lived in for many, many, many years.  So yes, it is not welcome to pay more interest obviously, but it's -- we're not at nose bleed levels at this point. So it requires us to be as disciplined as we've ever been in terms of choosing investments that have a double-digit return and making sure we execute those quickly. But it's a concern, but it's not one that we'd say is extraordinary based on how we normally operate. We've just gotten a tailwind from some unusually favorable interest rate environments in the last few years.
Daniel Fannon : Understood. And then just last one. You mentioned the bankruptcy of the Auto-Parts not being significant. I guess, just is there a way to quantify that? And it's consolidated within your business. So just a little bit more color on what that means and how that should play through as that process unfolds would be helpful. Thank you. 
David Willetts : Yeah. Ted, do you want to take that one?
Ted Papapostolou : Yes. We don't break out the Auto Plus business in our financials, but we did deem Auto Plus was not a significant subsidiary of Icahn Enterprises and nor was it a strategic shift getting rid of that subsidiary. So it would not be a significant impact, but we can't quantify it at this time, and it was a subsequent event. So maybe during the Q1 earnings, we'll be able to provide more color.
Daniel Fannon : Okay, thank you. 
Operator: Thank you. One moment for our next question, please. And it comes from the line of Andrew Berg, Post Advisory Group.
Andrew Berg : Thanks, guys. Just circling back on the investment funds for a moment. It looked like to me on the single name long positions you guys did reasonably well. Obviously, the biggest thing that probably hurt you was the equity short. Was the 7-point change in net notional predominantly an adjustment to that equity short or did you adjust in other areas?
David Willetts : I think the only thing that you really see running through here is the short, as you pointed out, did not perform well. Certainly, quarter four was volatile as has been the last several quarters. So the shorts did not perform particularly well, but the longs did perform relatively well.  So I think on our overall positioning, it doesn't reflect a fundamental change in our positions, just relative performance between them in terms of the equities.
Andrew Berg : Okay. And I guess we'll see it in the Q as to what the change was between the index funds and the CMBX shorts?
David Willetts : Well, in terms of the CMBX shorts, maybe I'll provide a bit broader context. Those defease over time -- so over time, if you go back to certainly 2021 and 2022, our exposure to the CMBX shorts has naturally declined as those wind up. So we see an impact, and we certainly have seen an impact over the last several quarters that's been more pronounced than in past years, just as those aren’t just defeasing in larger numbers and that's a planned and predictable action. So it's -- I wouldn't read too much into that other than the natural course for that security.
Andrew Berg : Okay. And my numbers suggest that, that was probably somewhere breakeven in the quarter. So I don't think it was a significant detractor from performance, but I might be wrong. When we look at real estate, the $6 million swing in EBITDA, what exactly is driving that? It's great to see the improvement I'm just wondering what was the improvement there?
David Willetts : I mean the good news is that we have been focused on real estate and there's still opportunities, certainly in one or two areas. But we've seen continued progress in our development companies. They've done very well despite interest rate environments. They've done very well. They continue to move forward. We continue to be excited about our strategy and development of the type that we do.  And then over the course of really '22 -- '21 versus '22, we've had continued progress in select net lease properties, really leasing those out where they were idle. We still have plenty of space to lease out and we're focused on that. But what I'd say is real estate has started to come more into its own. And stay tuned in that area. We want to see that continue to perform well.
Andrew Berg : Okay. Great. And then lastly, just looking at the asset values that you guys provide, there were sort of three big areas where we saw that indicative value change, 1 of which was in automotive-owned real estate. And you mentioned on the call that there were certain write-downs that were taken. Can you quantify those write-downs? And given the Auto Plus have happened subsequent to quarter end, I just want to understand that decline in value that you show in automotive a little bit better as we think about it from 3Q to 4Q.
David Willetts : Sure. I mean I think the biggest move that is represented there, we'll separate it into what I consider the operating companies in the real estate. The NAV is a valuation-based approach, which is obviously non-GAAP. And real estate we value once a year. And given the movement in cap rates, which has been relatively significant, we adjusted our net asset values down in the real estate sector.  It doesn't really change any of the underlying economics for that sector for our ability to get market rents that we're getting in the past. But the reality is when you do an independent valuation, then you look at cap rates, you as much as you may not wish to, you have to recognize that based on our methodology. So that was the single biggest change in the automotive real estate sector. I'd say in terms of the operations, there were a number of items that I would characterize as stemming from a new leadership team particularly in the services. We've been focused on a full balance sheet review, cleaning up processes, ensuring that controllership is where it needs to be. And as we really looked back, we saw a number of items that were not to our liking. And so several additional reserves were posted which I would characterize some of them as methodology change. For example, let's post an excess and obsolete inventory methodology. Let's reevaluate some of the capitalized items yield for inventory. Those are just reevaluation of methodology.  And then frankly, there are other items that we had to recognize that should have been recognized perhaps a little bit more promptly than they have been between Q4 and Q1, Q2 and Q3.
Andrew Berg : Okay. So it's pretty much new management coming in and a bit of a cleanup. That makes sense.
David Willetts : It's a bit of a cleanup. 
Andrew Berg : Got it. Thanks, guys. 
David Willetts : We're really focused on the integrity of the numbers there.
Andrew Berg : Okay. Helpful.
Operator: Thank you. One moment for our next question. And it comes from the line of Bruce Monrad with Northeast Investor Group.
Bruce Monrad : Hi, guys, can you hear me okay?
David Willetts : Yes, we can.
Bruce Monrad : Okay. Great. Thanks as always for hosting the call and hopefully, okay. Food packaging question. And nice to see the improvement at this case and both the EBITDA and the marking up of the value, that's great. A question on sort of [indiscernible] what inning or how is it going with production there? What inning are you in, in that would you say? Maybe that's the first question.
David Willetts : With regards to the plants, particularly the North American plants. Here's what I would say. The line that has been a source of consternation is running consistently at volumes. There are still scrap rate issues that we're muscling through. They were close to but not at plan for scrap rates. But the reality is that's not a material driver. It's just an opportunity.  So I would say I would still say we're very much in the first inning and maybe baseball is a wrong -- maybe we're in the first quarter, right? What I'd say is we have taken many stabilization actions. We replaced select personnel -- we've gotten discipline on gauge R&R items on most of our indicators and indicators of line performance. We're not done there yet, but we are at the point where the plant is performing -- the plants are performing, not wonderfully, but they're performing consistently. I'd say the next phase, still very much in the first quarter is now we need to make consistent improvements upward. The good news is that OEE and OEE always has its issues, but it's a general measure of efficiency. We've seen to sustain -- I believe it's a three-month 5 percentage point increase in in Oceola. It's not entirely where we'd like it to be, but we're seeing small step function improvements.  My experience in plants is rarely do you get a big bang unless it's a scheduling opportunity when you have a plant with multiple issues with labor, with machine reliability with scheduling you get it in 2 to 5 percentage point step functions. So I'd say we're still in the first quarter, but we're not at Square 1, to mix my analogies here. We are making steady, reliable progress. I can say that one factor that we always worry about is power interruption and weather. And certainly, for first quarter, there have been blips of weather-related issues. But not something that gives us concern for the overall trajectory for first quarter.
Bruce Monrad : Okay. Good. And I'm sorry, OEE stands for?
David Willetts : It's basically Equipment Efficiency. Overall Equipment Efficiency.
Bruce Monrad : And then in terms of how management is budgeting for '23, do you do it off? Do they do it off of of a 4Q and say, okay, Oceola is back up and running and let's go after that and budget some improvements? Do you do it off of last year? Last year, 1Q was pretty good, but obviously, it was down. So how are they going about budgeting, would be a question if you can answer that?
David Willetts : So I mean, budgeting is always -- it's not so much a sciences mark. But effectively, we've asked management and they've delivered us a year-over-year improvement plan that is based on multiple factors. Some of which are plant improvements, some of which are sourcing, some of which are costs, some of which are you focused on rearranging the mix so we get a richer mix across all of the continents.  When we take a look at how do we budget, we don't take an average for of 2022, for example. We look at exit run rates and compare that versus the plans that have actually been fully executed and the plans that are to be executed. So I think that's a little bit convoluted, but the short version is we don't just take an average.  We look fairly scientifically at what is the plant supposed to do? Or what is the initiatives supposed to do? Where do we exit the year so that we're not letting management sandbag, right? But the caution is we wanted a highly achievable budget in 2023 that showed meaningful growth, but that had a 75% to 85% confident factor and risks and opportunities announced. So that's a long-winded answer to the question you asked.
Bruce Monrad : It does. Very much appreciated. Great. Again, congratulations. I know you had some FX headwinds in the quarter. So you've got other things there, but I appreciate the chance to ask the question. Thank you. 
David Willetts : You're welcome.
Operator: Thank you. And with that, I will conclude the Q&A session. And I'll turn the call back to David Willetts for final remarks.
David Willetts : Great. Thank you. Thank you very much, everyone, for attending. As always, if you have questions that we weren't able to get to, I would refer you to our website, and there are several means in which you can ask your questions or concerns or comments, and we will attempt to get back to you in a reasonable time frame.  Yeah. Thank you very much, and we look forward to talking in roughly three months. Take care.
Operator: And with that, we conclude our conference for today. Thank you for participating. And you may now disconnect. Thank you, and good day.